Operator: Thank you for standing by. My name is Ian, and I will be your conference operator today. At this time, I would like to welcome everyone to the Everus Q1 2025 Earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Paul Bartolai, Head of Investor Relations. Please go ahead.
Paul Bartolai : Thank you. Good morning, everyone, and welcome to Everus Construction Group's first quarter 2025 results conference call. Leading the call today are CEO, Jeff Thiede; and CFO, Max Marcy. We issued a news release yesterday detailing our first quarter 2025 operational and financial results. This release, together with the accompanying presentation materials, are publicly available on our website at investors.everus.com. I would like to remind you that management's commentary and responses to questions on today's conference call may include forward-looking statements, which by their nature are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results could differ materially. For a discussion of some of the factors that could cause actual results to differ, please refer to the risk factor section of our latest filings with the SEC. Additionally, please note that you can find reconciliations of historical non-GAAP financial measures in the news release issued issued yesterday and in the appendix of today's presentation. Today's call will begin with prepared remarks from Jeff, who will provide a review of our recent business performance, followed by a financial update from Max. At the conclusion of these prepared remarks, we will open the line for your questions. With that, I'll turn the call over to Jeff.
Jeff Thiede : Thank you, Paul, and good morning to everyone joining us on the call today. We are very excited to be here with you all today as we report our first quarter 2025 results. During my prepared remarks, I will provide a brief overview of our strong first quarter results, give an update on our end market trends, and highlight some of our key accomplishments against our strategic priorities. Beginning with Slide 4, we are off to a strong start in 2025 with our first quarter results. Our performance reflects the drive and determination of our team, the ongoing favorable trends in key markets, and our continued focus on our 4EVER strategy. Our first quarter revenue increased 32%, driven by continued strength in our electrical and mechanical segment. The diversification of our business was on full display as we generated revenue growth across each of our E&M end markets, highlighted by the continued strength in key submarkets, including our data center business. While revenues declined slightly in our transmission and distribution segment as we faced some weather-related delays in certain markets, our T&D project execution was solid, enabling us to grow our T&D segment EBITDA during the quarter, even with the revenue decline. Our first quarter EBITDA increased 32%, with margins consistent to last year, even with the incremental stand-alone operating costs, highlighting our strong project execution during the quarter and our ability to operate effectively, even during uneven market environments. The tariff and trade uncertainties are creating very dynamic operating conditions, but we are well equipped to manage through these challenges. During times like these, it is critical we remain disciplined and stick to our Everus playbook, which has helped us successfully execute during economic volatility in the past, such as during the COVID pandemic. In these market environments, we increase our dialogue with our customers. We look to early material procurement and lock-in pricing when possible, and we ensure our contracts include terms that enable us to successfully execute on our commitments to our customers. We have processes in place to manage through these conditions, and we are confident that we will successfully navigate the uncertainties and continue to safely and efficiently execute for our clients. We are very pleased to see momentum from favorable secular demand trends continuing into 2025. Our total backlog at the end of the first quarter was up 10% from year-end and up 41% from the prior year period, with growth in both E&M and T&D. Our strong backlog growth is a direct reflection of our track record of successful execution and the trust that our customers place in Everus to complete jobs on time, on budget, and consistent with the exacting specification that our partners demand. Importantly, our E&M backlog, which increased 46% from the prior year period, was driven by growth in several of our key submarkets, including data center, manufacturing, government, and hospitality. This broad strength highlights the diversity in our business and the attractive industry fundamentals across many of our key end markets. While there will likely continue to be quarter-to-quarter fluctuations, we have a demonstrated track record of successfully growing our backlog over time, which we highlight on the bottom of Slide 4. We are confident we can continue this trend moving forward. While there is a lot of macro uncertainty in the broader economy, we remain encouraged by the trends in several of our key end markets, and we are well positioned to benefit from several favorable sector drivers. Our positioning within these markets is a critical aspect of our strategy, ensuring we are identifying the next growth drivers and favorable market opportunities, and ensuring we have the people and resources in place to take advantage of these opportunities. We have successfully done this throughout our history, and we are continually evaluating our markets to make sure we are positioned for growth. As we look across our business, we continue to see favorable trends in key submarkets, including data center, hospitality, and high-tech reshoring. As it relates to data center work, our message has not really changed. While there has been a lot of noise in the market, and it will likely continue to be more going forward, we continue to see very strong demand trends and have not seen any meaningful change in our customers' plans. We benefit from our diverse geographic footprint and our strong team of operating companies in key markets, which put us in a favorable position to take advantage of the favorable trends in the data center market. The demand environment is robust, and we remain well positioned as one of the small handful of service providers with the track record, expertise, and people to successfully execute on these complex jobs. As we have discussed, we are coming off a very strong few years from our hospitality business. However, we continue to see additional opportunities for growth. Through the first quarter, we continue to secure projects with a number of additional exciting opportunities in Las Vegas. We continue to be confident in our hospitality business. High-tech reshoring has been a strong sub-market for Everus, and we are happy to see that momentum continue into 2025. During the first quarter, we continue to see favorable trends in the high-tech sub-market. While we continue to closely monitor the macro landscape, we are optimistic about our opportunities to continue growing backlog based on the demand trends in our markets, our deep customer relationships, our diverse end-market exposure, and our highly skilled team across the country. Now let me shift gears a bit and provide an update on our 4EVER strategy and some of our key accomplishments during the quarter. As a quick reminder, our 4EVER strategy, which is detailed on Slide 6 of today's presentation, is focused on attracting, retaining, and training our most critical asset, our employees, creating value for our customers and shareholders, delivering safe and high-quality execution, and maintaining and growing our customer relationships. During the first quarter, we continued our focus on attracting and retaining key talent. We were able to add to our skilled labor headcount during the quarter, which is critical to supporting our long-term growth objectives. We had another quarter of strong execution, which positively impacted results during the quarter. As I already discussed, leveraging our talented workforce and long-term customer relationships is critical to execution during uneven market environments such as the one we are witnessing now. So we were extremely pleased with our positive execution during the quarter. Our 4EVER framework forms the basis for everything we do and is designed to deliver value creation through sustained profitable growth, operational excellence, and disciplined capital allocation. Our value creation framework is highlighted on Slide 7 in today's presentation. I've already discussed our progress on our growth and execution initiatives, so I'd like to now highlight some of our accomplishments as it relates to our disciplined capital allocation framework. As we have discussed since our spin, a key priority of our strategy is to step up our capital spending to take advantage of the attractive organic growth opportunities we see in our markets. Max will provide more detail, but a significant portion of the increase in our CapEx during the first quarter was to purchase a new prefabrication facility in Kansas City. Having a robust network of prefab facilities is critical in our business, so we are excited by the progress of our newest facility. We are consolidating several facilities into one new facility while expanding the total footprint by approximately 128,000 square feet. Another key aspect of our capital allocation strategy is strategic M&A, so we were very excited about our recent announcement that we added Tim Sznewajs to our team as Vice President of Corporate Development and Strategy. Tim will play a critical role in our growth strategy, and he is uniquely positioned to help build out our M&A capabilities in partnership with our established internal team. Tim brings over 20 years of experience in middle market construction services investment banking. Tim has deep industry knowledge, relationships, and transaction experience with a particular focus on both the E&M and T&D markets. We are thrilled to have Tim on the team and look forward to his contribution to our 4EVER strategy. As we highlight on Slide 8 of today's presentation, we expect our 4EVER strategy to drive us toward a long-term financial framework of organic revenue growth in a range of 5% to 7% compound annual growth, which combined with our disciplined focus on operational excellence should drive EBITDA growth of 7% to 9% on a compound annual basis. We are encouraged by the strong start to the year, favorable backlog trends, and high performance of our team, and we are confident we will remain on track to execute on our long-term financial targets driving value for our shareholders. With that, I'll turn it over to Max.
Max Marcy : Thank you, Jeff, and good morning, everyone. I will provide additional details on the quarter, give an update on our liquidity and balance sheet, and wrap up with some additional details on our guidance. Beginning on Slide 10 in today's presentation, revenues for the first quarter of 2025 were $826.6 million, an increase of 32% compared to the same period last year. The increase was driven by E&M revenue increasing 47%, partially offset by a 2% decline in T&D. Total EBITDA was $61.8 million during the first quarter, an increase of 32% from the same period last year that was driven by solid revenue growth and increases in segment-level margins in both E&M and T&D, partially offset by the incremental stand-alone operating costs. Our stand-alone operating costs continue to trend in line with our expectation for full-year run rate incremental costs of $28 million. As a result of all this, our first quarter EBITDA margin was 7.5%, consistent with the prior year period. At March 31st, total backlog was $3.1 billion, up 10% from December 31, and up 41% from March 31 of 2024. We saw solid year-over-year and sequential growth in both our segments, with E&M backlog up 46% from the prior year period and T&D up 8% from the prior year period. While data center work was a key driver, we saw growth in several key submarkets, highlighting the diversity in our business. As we have discussed in recent quarters, given the current mix of our backlog, which includes some larger multi-year projects, our backlog conversion may be extended relative to our historical pattern in the coming quarters. Now, turning to our segment results. Let's first look at E&M, where our first quarter revenue increased 47% to $648.2 million compared to $441 million in the prior year period. The increase was driven by growth across each of our end markets, once again highlighting the diversity of our business. Our E&M EBITDA was $49.5 million in the first quarter, up from $32.8 million in the same period last year, or an increase of 51%. The increase was driven by higher revenues and higher income from joint ventures, partially offset by changes in project mix and higher selling general and administrative expenses. As a result, our E&M EBITDA margin was 7.6%, up 20 basis points from last year. Our first quarter T&D revenue was $185 million, down modestly from $188.5 million last year. The 2% decline was the result of lower revenue in our utility business, due in part to weather-related delays. This was partially offset by increased workloads in the transportation end market, particularly in the traffic signalization sub-market. T&D EBITDA was $20.1 million during the first quarter of 2025, up 5.8% from $19 million last year. We were able to increase our T&D EBITDA despite the modest revenue decline as a result of our strong project execution and lower SG&A costs. As a result, our T&D EBITDA margin was 10.9%, up 80 basis points from last year. Turning to our balance sheet and liquidity. As of March 31, we had $54.3 million of unrestricted cash and cash equivalents, $296.2 million of gross debt, and $209.4 million available under the credit facility, net of $15.6 million of standby letters of credit. Net leverage, defined as net debt to trailing 12-month EBITDA, was approximately 1x. CapEx was $18.5 million during the first quarter, up from $9.2 million in the first quarter of last year. As Jeff discussed, the increase in CapEx reflects our strategy to increase investments that support our organic growth. The increase in CapEx went to support the purchase of our newest prefab facility, as well as additional vehicles and equipment to support the growth of our business. Wrapping up with guidance, we are very pleased with our solid start to the year and are encouraged by our healthy backlog levels, favorable demand drivers, and strong execution. That said, it is early in the year and project timing is always difficult to predict. Additionally, the current macro environment adds another layer of uncertainty that is very difficult to quantify, given the news flow that seems to change daily. As a result, we are affirming our 2025 guidance that calls for revenues in the range of $3 billion to $3.1 billion and EBITDA in the range of $210 million to $225 million. That completes our prepared remarks. Operator, we are now ready for the question and answer portion of our call.
Operator: [Operator Instructions] Our first question comes from the line of Brent Thelman with D.A. Davidson. Your line is open.
Brent Thelman : Congrats on a great first quarter. Jeff or Max, you talked about this kind of larger mix of longer lead time projects before. I guess as you're sitting here in May and planning for the remainder of the year, is it that there's a handful of specific projects you're executing on now that may still be swing factors in terms of revenue timing this year, or is it more so kind of the ramp of new business, maybe not as much a contributor to the first quarter, but maybe some element of uncertainty in terms of how that progresses this year? I just wanted to get a sense around kind of schedules.
Jeff Thiede: Yeah, thanks for the question, Brent. This is Jeff. As we mentioned before, our backlog could be bumpy, and as we've been able to build upon our expertise to be able to win these large complex projects, some of these projects have a longer front end, and that's why we get selected on these projects early to be involved in constructability reviews as a partner and also as an extension of the design team. So when we have these large projects that we win, we're able to be able to add that value, and sometimes that extends the duration of the project on the front end.
Brent Thelman : And then on the transmission and distribution side, it sounds like there were some seasonal factors that worked against the revenue here in the business group to some degree. Jeff or Max, can you talk about the outlook for the rest of the year just in terms of how kind of workloads look to be shaping up? It looks like the backlog picked up nicely.
Jeff Thiede: Yes, it did, especially with the undergrounding where we're seeing a lot more opportunities. We've got a lot of expertise with undergrounding in addition to overhead, transmission, distribution work. The T&D segment is a very important part of our business, and we look to build upon our success with our customers. Many of our customers we've been working with for over 30 years, so we're very well positioned with the expertise of our field and management teams to be able to build upon our success and take on more work.
Brent Thelman : Just the last one, the high-tech manufacturing end market, could you just talk about the status of that for you? I know there's been some selective kind of reductions in CapEx among some participants out there. It sounds like in the commentary business as usual there, but Jeff, maybe you could just comment on that market.
Jeff Thiede: Sure. We've got a 30-plus year relationship with one of our large semiconductor manufacturers, and we've experienced some cyclicality of capital allocated to construction and maintenance. Nevertheless, we are still going to support this customer and other semiconductor manufacturing customers. These are very sophisticated factories, and we're relied upon for the services that we provide. The projects with these customers are difficult, and with the track record that we have and the ability to deliver safely, this has benefited us in the past, and it keeps us in great position for continuing our success.
Operator: Our next question comes from the line of Ian Zaffino with Oppenheimer. Your line is open.
Ian Zaffino : Can you guys maybe talk about the outlook for the non-backlog business? Backlogs up a lot. Is this kind of a one-to-one thing where backlogs go way up and non-backlog goes way down? Is there maybe potential to keep non-backlog from declining as much? Are you hiring new workers? How do we think about that relationship between those two and your outlook for non-backlog? Thanks.
Jeff Thiede: The non-backlog work is very, very important to us, especially the MSA work. We have looked to diversify our business, not just in the markets that we serve, but also our customer base and also the size of projects. I'm going to ask Max to add to that answer.
Max Marcy: Yeah, Ian. Thanks. I think as we take a look at this, that kind of book and burn, if you will, business, I think that kind of ebbs and flows based on how we've deployed our assets and our resources and our people. As you can see, we've got a pretty healthy backlog. We're working on a lot of good projects and have our resources pretty fully deployed on burning off that backlog in which we have visibility. So I think it's really about resource allocation. We feel really good about deploying those resources to our backlog and how that translates to results for the rest of the year in our guidance.
Ian Zaffino : And then if I could ask a follow-up here. I guess two parts. First one, you commented on hospitality and some nice winds. Where is your relationship to kind of the robust environment you had several years ago? So where are we there? Because I know in the past you said that that's sort of not at the level you want to be, but now you've had some winds. So maybe help us understand where you are there. And then if I was to sneak in another one, the weather delays in T&D, does that just get pushed into the second and third quarters so the full year is kind of unchanged or is that business actually kind of lost? Thanks.
Jeff Thiede: Okay. Thanks for the question, Ian. As far as Las Vegas, we have four great companies in this market. Our ability to provide the electrical, low voltage, mechanical HVAC, plumbing, fire protection, underground utilities for our customers, with many of them we've had great relationships developed through a very long track record of successful execution. This contributes to a very strong position to capture future opportunities in this market. And as we've seen through the end of the first quarter compared to the end of last year, our backlog has increased in Las Vegas. And as far as T&D, with the weather issues that we mentioned earlier in our comments, we believe that there is strong demand for the services of our companies. And through the MSAs and also some fixed price work, we see this as a great opportunity to be able to have more projects in the T&D segment for Everus in the remainder of the year and beyond.
Operator: Our next question comes from the line of Brian Brophy with Stifel. Your line is open.
Quinten Helmer : Congrats on the quarter. This is Quinten Helmer on behalf of Brian Brophy with Stifel. Can you talk about your capabilities in pharmaceutical manufacturing in the E&M segment and kind of touch on how you are thinking about opportunities in that part of the market? Thank you.
Jeff Thiede: That's a great question. And it is one of the markets that we are focusing on to be able to deploy resources and position ourselves to grow. There's opportunity for us there. And as we look through organic growth and where we're positioned with our current companies and then also M&A, that does fold into the mix of where we will geographically expand our services to align with markets that we see increasing opportunities. And biopharmaceutical is one of those markets.
Quinten Helmer : One follow-up. Another question. Sorry, I was on mute. Kind of an ongoing discussion on driver of L.A. wildfires. It sounds like there's an increased acknowledgement from the local utility on the involvement. Can you remind us the work you do in that region, whether you are seeing any near-term impact on spending there as a result and kind of how we should be thinking about the longer-term opportunity there as well? Thank you.
Jeff Thiede: Thank you for the question. We are very well positioned with a long history of success with this type of work on undergrounding. And we are able to help our customers and communities in the Palisades area in Southern California. And we've also renewed some MSAs with this longstanding customer. So it's an area of expertise for us. We've got great people, terrific safety record, and we will continue to pursue this work and have this complement our success.
Operator: Our next question comes from the line of Chris Senyek with Wolfe Research. Your line is open.
Chris Senyek : Couple of questions. How should we be thinking about 2025 guidance in light of the strong first quarter revenue? And I think if memory serves me, the first quarter tends to be a little bit softer easily. Was there some Q2 revenue that got pulled forward? How should we be thinking about the cadence of it quarterly? And I know you don't give quarterly guidance, but just in helping us kind of thinking about the rest of the year.
Jeff Thiede: Yes, we did have some pull forward in the first quarter. And you take a look at our forecast. It's early in the year. We're very proud of what we've been able to produce in the first quarter. You take a look at some of the macroeconomic uncertainties or some of the tariffs, but we're working very closely with our customers and our business units. And we will continue to do that through the second quarter and provide that update in our next call.
Chris Senyek : And then a separate question on tariffs. I don't know if you've really fully addressed it in the past, but what's the direct impact on tariffs to your business, particularly as it relates to the fixed price contracts? I know tariffs are clearly a moving target each day, but how should we be thinking about that? Could we start to see some margin pressures we get in the year? If some of the components and other items do have price increases and other things that stick.
Jeff Thiede: Yeah, there's been a lot of noise in regards to tariffs. And we've received letters from our suppliers almost every day on potential increases in prices. We're very proactive when it comes to procuring long-lead equipment and materials. We mitigate the potential exposure to tariffs by working closely with our suppliers and our business partners. And we do secure specific pricing and availability in our quotes. We've really taken a look and analyzed our exposure on fixed price contracts, in addition to cost plus and MSA contracts to identify if there are any issues that could impact our business. Because of our anticipatory proactive ability to procure these long-lead equipment items, and we believe we've mitigated that risk for our customers. When there are any types of challenges, we come up with solutions, whether it's an alternative product or it's a different means of method. And this is one of the examples of what we provide in our constructability on these projects where our customers look to us as a partner. We also look to secure contractual terms that protect us as much as possible with regards to tariffs.
Chris Senyek : And then one question for Max. In terms of corporate costs, we ran about $8 million in the first quarter. Is that a good number to think about as a run rate going forward? I know last year there was some incremental costs that might've been in there from the separation.
Max Marcy: Yeah, so on that number, so maybe we're a little light on some potential agreements that are coming up to stand up some of our departments. So that'll probably go up a little bit for the remainder of the year, kind of getting us to holistically all in the numbers that we've been talking about. So you won't see that $20 million on that line, but the increase overall between our insurance, which hits a different line, and that you'll see the $28 million in total. No change to the overall number.
Chris Senyek : But it sounds like Q1 might've been slightly soft relative to what we'll see the rest of the year, but it's different from the income statement.
Max Marcy: Yeah, incrementally less, yes.
Operator: There are no further questions at this time. I would like to hand things back to Jeff Thiede for closing remarks.
Jeff Thiede: Thank you, operator. And thank you all again for joining us today. We are very excited about the opportunities ahead for Everus. We are confident we have the right strategy in place and the right team to execute on our plan. We will be attending several investor events during the quarter, including the Stifel Cross Sector Conference, the KeyBanc Industrials and Basic Materials Conferences, and the JP Morgan Energy, Power and Renewables Conference. If we are not able to connect during this quarter, we look forward to speaking with you on our next quarterly earnings call. Thank you for your time and interest in Everus. This concludes today's call.